Operator: Good day, and welcome to the Moog First Quarter FY 2022 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the call over to Ann Luhr. Please go ahead.
Ann Luhr: Good morning. Before we begin, we call your attention to the fact that we may make forward-looking statements during the course of this conference call. These forward-looking statements are not guarantees of our future performance and are subject to risks, uncertainties and other factors that could cause actual performance to differ materially from such statements. A description of these risks, uncertainties and other factors is contained in our news release of January 28, 2022, our most recent Form 8-K filed on January 28, 2022, and in certain of our other public filings with the SEC. We've provided some financial schedules to help our listeners better follow along with the prepared remarks. For those of you who do not already have a copy of the document, a copy of today's financial presentation is available on our Investor Relations webcast page via www.moog.com. John?
John Scannell: Thanks, Ann. Good morning. Thanks for joining us. This morning, we report on the first quarter of fiscal '22 and provide color on what we are thinking for the remainder of the year. Let me start with the key financials. Earnings per share of $1.44 included a $0.33 net gain from our portfolio shaping activities. Adjusted earnings per share of $1.11 were in line with our guidance from last quarter. Omicron made this quarter more challenging than we had projected 90 days ago. It further exacerbated the difficulties associated with labor availability, supply chain constraints and inflationary pressures. Despite these additional headlines, we achieved our plan -- or sorry, the additional headwinds, we achieved our plan. Adjusted free cash flow in the quarter, excluding the impact of our securitization facility, was $31 million, a conversion ratio of 86% on adjusted net earnings. There's no change to our guidance for the full year. Full year sales will be $3 billion with adjusted earnings per share of $5.50, plus or minus $0.20. Now let me move to the headlines. There were several exciting product announcements since we last reported, including a major production win, a strategic collaboration and the technology demonstrator. First, we reached agreement on the full order for our RIwP turrets for the SHORAD program. Over the last years, we have been working on the initial order for 30 units, including nonrecurring developments. The full order for 124 units, including NRE and options, totals almost $250 million in sales and is our largest defense booking ever outside our aircraft business. SHORAD is just the first major win for our reconfigurable turrets, and we anticipate further wins in the future. Second, in early January, we formally launched our Moog construction initiative, with the announcement of the Consumer Electronics Show in Las Vegas of a strategic collaboration with Dusan and Bobcat. Moog will supply all the controls and actuation on the world's first all-electric track loader, the T7x. Our controls platform opens the future opportunity to augment the operator's capabilities through automation and eventually full autonomous operations. Bobcat's launch customer is Sunbelt Rentals, who wants to build a fleet of all electric vehicles. We look forward to getting the first units into the field over the next few months. Converting professional equipment from diesel and hydraulics to electrics is a significant challenge, the type of challenge our company has solved in other industries in the past. The electric construction vehicle market is in its infancy, and autonomous vehicle operation is still experimental. However, the longer-term market potential for Moog is enormous. Third, Moog hardware played a critical role in the DARPA remanence program this quarter. In early October, the military brand is successful test to recover an unmanned air vehicle into a conventional airplane. Moog provided flight controls technology for both the air vehicle and the recovery system, demonstrating again our capability to solve our customers' most challenging technical problems. These programs demonstrate our commitment to organic investments that fuel long-term growth. Over the last few years, we've continued to look for strategic acquisitions, but as long as to justify the price levels that others are paid. We, therefore, decided to double down on internal investments that will create significant long-term value. These investments come in 2 categories: first, investments in new markets, products and technology to drive the top line. We've already described some of our growth investments, including our rotors, which is now in full production; our space vehicles, which are starting to ramp production; and our construction equipment initiative, which is in the preproduction phase. Second, investments in infrastructure, facilities, advanced manufacturing systems and portfolio shaping to build a platform for longer-term growth at higher margins. Note that our forecast for fiscal '22 already includes these investments. Now let me move to the details, starting with the first quarter results. Sales in the quarter of $724 million were 6% higher than last year. Sales were up in each of our 3 operating groups with particular strength in the commercial aircraft and space markets. Taking a look at the P&L, our gross margin was down on operational inefficiencies attributable to the pandemic. R&D is in line with last year. Selling and admin expenses are up on increased customer interactions, but in line with our plan for the year. Interest was slightly lower and lower debt levels. This quarter includes the benefit from the sale of our navigation aids business. The effective tax rate was 24.7%, resulting in net income of $46 million and earnings per share of $1.44. Excluding the impact of our portfolio actions in the quarter, adjusted net income was $36 million and adjusted earnings per share were $1.11. Fiscal '22 outlook. Our first quarter was in line with our guidance from 90 days ago. We anticipated a slow start to the year with increasing sales and earnings as we move through the quarters. Our outlook remains unchanged. And therefore, we are affirming our full year guidance of $3 billion in sales, up 6% from last year and adjusted earnings per share of $5.50, plus or minus $0.20. Now to the segments. I'd remind our listeners that we provided a supplemental data package posted on our webcast site, which provides all the detailed numbers for your models. We suggest you follow this in parallel with the text. Starting with our Aircraft group. The underlying market dynamics in our Aircraft business were somewhat mixed this last quarter. Global political tensions with Russia and China continue to mount and their strong support for defense spending across both sides of the aisle. On the other hand, the continuing resolution and a slower level of activity in the military aftermarket are causes for caution. The recovery in the commercial aircraft market was partially interrupted this quarter by the Omicron variant, but should resume as the virus wanes. China through the 737 MAX, which hopefully means a return to full service sometime in the near future. However, less positive is the fact that the 787 continues to have challenges, and deliveries to airlines are not forecasted to resume for several more months. Aircraft Q1. Sales in the quarter of $303 million were 6% higher than last year. This quarter, the commercial sales were way out with military sales down from a year ago. We saw a strong growth in both the commercial and commercial aftermarket portfolios. On the OEM side, we experienced higher sales across most of our portfolio programs. We have particular strength on the A350 and in business jets. The 787 was also up from a year ago. We had $3 million of additional sales from our Genesys acquisition, which we completed in the last month of Q1 last year. Growth in the commercial aftermarket was driven primarily by the 787, with more modest sales increases on the A350 and in our business jets portfolio. On the military side, we saw decreases in both the OEM book and in the aftermarkets. OEM sales on the F-35 were down over 20% as a result of supply chain challenges. In addition, we saw sharply lower sales on some foreign military programs as a result of timing issues. Partially compensating for these reductions were increases in our helicopter product line, higher funded development and additional sales from Genesys. In the military aftermarket, we saw decreases across much of the portfolio with the exception of the V-22. As part of our wider portfolio shaping program, we completed the divestiture of our Navaids business in the first quarter. We received $39 million in cash and booked a gain of $16 million on the sale. This gain contributed over 500 basis points of operating margin to the aircraft business in the quarter. Sales of our Navaids business in fiscal '21 were $25 million. Aircraft margins. Excluding the gain from the sale of the Navaids business, adjusted margins in the quarter were 8.5%. These margins were ahead of our average for fiscal '21. However, they were down from the same quarter a year ago. Last year, you may remember, we had a particularly positive mix in the first quarter as a result of unusually strong sales on some of our foreign military programs. Aircraft fiscal '22. We're keeping our full year sales forecast unchanged from 90 days ago at $1.25 billion, up 7% from fiscal '21. We're also keeping the mix between military and commercial unchanged. Our full year forecast assumes some acceleration on the military side from the run rate of the first quarter. Easing supply chain bottlenecks on the F-35 and a modest pickup in the military aftermarket will drive the growth. On the commercial side, we're already slightly ahead of our projected run rate coming out of the first quarter. We had some favorable timing of material receipts in Q1, which drove the beat. We anticipate this will level out over the coming 3 quarters. As we go through the remainder of the year, we anticipate margins will strengthen to yield full year adjusted margins up 10.1%, unchanged from our forecast of 90 days. Turning now to Space and Defense. Underlying demand for our legacy components across both the space and defense markets remain strong. Global investment in space, both commercial and military, continues to create opportunities for growth in our business. In particular, our growth has been fueled by our newer, more integrated product offerings in both markets, the vehicles for space and the reconfigurable turrets in defense. Sales in the first quarter of $208 million were 10% higher than last year. This quarter, we enjoyed nice growth in both the Space and Defense portfolios. On the Space side, sales were up over 10% on continued growth in our space vehicles product line. Sales in this product line more than doubled to over $20 million in the first quarter this year. Increases in our avionics and legacy valves business made up for lower sales on hypersonic development programs. Several of our hyperstatic development programs are winding down. We will now have to wait to see which move to the next stage of early production. On the defense side, the growth was driven by our RIwP turret on the SHORAD program. As I mentioned in my opening, this quarter, we agreed the remaining stages of our contract with DRS and celebrated a total program value over several years of almost $250 million. We saw some slowdown in our tactical missile business this quarter, but this was compensated by higher component sales. Over the last few years in both the space and defense markets, we follow a strategy of combining our components into more integrated solutions to address the needs of the end customer, primarily the defense department. We call this strategy Agile Prime. Our major growth drivers this year, space vehicles and our target offering are examples of the success of this strategy. Going forward, we will continue to offer world-class components as a sub-tier supplier to all the major clients. In parallel, we will look to partner with the primes to offer more cost-effective and flexible solutions that address some of the challenges of their customers. Similar to our Aircraft business, our portfolio shaping continued in Space and Defense this quarter. We took a $2 million charge associated with exiting a product line in our security business. On defense margins. Adjusting for the portfolio shaping charge, underlying margins in the quarter were 11%. These margins were down from a few years ago for a combination of reasons. First, as in all our businesses, COVID is putting operational pressure on our facilities, both in terms of labor efficiencies as well as supply chain disruption. Second, our new growth vectors of turrets and space vehicles are in the early stages of production and are at lower margins than our more mature businesses. We expect the margins on these new businesses to improve over the coming years. Space and Defense fiscal '22. There's no change to our forecasted sales for the year. Full year space sales will be $350 million, in line with the run rate of the first quarter. Full year defense sales will be $530 million, an acceleration from the first quarter as the SHORAD program continues to grow. For the full year, we're keeping our adjusted margin forecast unchanged at 11.5%. Now to Industrial Systems. The major global economies are showing real strength despite the ongoing pandemic. We see this strength reflected in our industrial bookings. Across every market from cars to materials to electronics, demand is buoyant while the supply chain is struggling to keep up. Capital spending is up, driving strong demand for our automation components. With oil prices firming and flight training on the increase, we're feeling positive about the remainder of our fiscal year. It's too early to tell if the present high level of demand is transitory as a result of constrained supply chain or whether it is stable longer term. Sales in the quarter of $213 million were marginally higher than last year. Sales were up in 3 of our submarkets, energy, industrial automation and SIM and test. Sales of the medical applications were down from a year ago. Energy sales were up across much of the portfolio as oil prices continue to edge upwards. Industrial automation sales were up, reflecting the increasing confidence in the global recovery. Sales in the SIM and test applications were up as we delivered on some large test programs in China. Sales of flight simulation systems remain muted again this quarter, actually down from a year ago. However, on a more positive note, we are starting to see stronger demand for flight simulation systems as the airline market recovers. Finally, sales in the medical applications were down in the quarter as the underlying business continues to settle after the COVID surge. Industrial Systems margins. Margins in the quarter of 8.1% were down from a year ago, but in line with expectations. This quarter, we incurred moving expenses and production disruption as we continue to refine our footprints and consolidate facilities in both Europe and the U.S. We also increased our investments in future growth vectors, in particular, our electric construction vehicle initiative. We're confident that these investments will pay off on both the top line and the bottom line over the coming years. In the shorter term, our strong backlog gives us confidence that the remainder of this fiscal year will see a pickup in both sales and margin. Industrial Systems fiscal '22. There's no change to our sales forecast from last quarter. For the full year, we anticipate sales of $910 million with an acceleration as we move through the quarters. The risk to meeting this plan will not be on the demand side. We already have the backlog. Our primary concern remains the supply chain's ability to meet this increased level of activity. We're forecasting full year margins of 9.5%. Summary guidance. Overall, it was a solid quarter, in line with our guidance despite the unexpected arrival of the Omicron variant. Business sentiment remains positive across all our markets, while supply challenges are tempering our growth on both the top and bottom line. It was an exciting quarter for product announcements with the SHORAD production program, the Bobcat strategic collaboration and the Grandland technology demonstrator. We continued to generate healthy free cash flow and return some of that cash to our investors through our dividend and share buyback programs. Growth on the top and bottom line remains our focus. Our search for strategic acquisitions is ongoing, but the last few years have taught us to be wary of overpay. In addition, our portfolio review has shown that internal investments have often created more long-term value than some of our acquisitions. As a result, we're accelerating the pace of internal investment this year, both in terms of capital expenditures as well as investments in new market opportunities. We're very excited about the long-term opportunities for our business. Climate change is opening opportunities for us in construction vehicles, and demographic shifts are creating the need for additional automation. The availability of ever lower cost sensors and advanced computing platforms is enabling transformational change. At our core, we are an engineering and technology company. Our greatest strength is working with our customers to solve their most difficult technical challenges. We have both the components technology and the systems integration capability to make things work. Our collaboration with Bobcat came from demonstrating this capability. Within 6 months of our first conversation, we had a fully operational vehicle. For the second quarter, we anticipate earnings per share of $1.30, plus or minus $0.15. Our range is relatively wide again as we remain unsure about the evolution of the virus and the potential impact of vaccine mandates and further supply chain issues on our business. However, these are transitory issues, and they will resolve, we believe, over the coming quarters. Our underlying business remains strong, and we're very optimistic about the longer term. Now let me pass it to Jennifer, who'll provide more color on our cash flow and balance sheet.
Jennifer Walter: Thank you, John. Good morning, everyone. Inflation and interest rates are getting a lot of attention these days. We're feeling the effects of inflation now. We're seeing the economic growth that comes with inflation. It's also impacting the cost of labor and purchase materials. With the Fed likely to hike interest rates soon when we see the tapering effects of inflation, we can expect higher interest costs. But since we're not highly levered, we are well positioned to take advantage of acquisition opportunities should prices moderate. Workforce mobility and labor shortages are also affecting us both directly and through the supply chain. It's an interesting backdrop for everyone these days. Moving to Moog-specific activity. We just announced a 4% increase in our dividend to $0.26 per share for our upcoming quarterly dividend payments. This quarter, we also amended our securitization facility. This facility provides us with lower interest costs compared to those that we would incur with borrowings under our revolving credit facility. We essentially sell receivables of up to $100 million on the amended securitization facility, such as those receivables are derecognized from our balance sheet. This new structure reduces our working capital and debt levels. To provide a comparable look at our cash generation and financial position with previous periods, I'll first show -- I'll first share of free cash flow, net working capital metrics and debt balances without the benefit of the new securitization facility. I'll also include the metrics as calculated off of our financial statements near the end of my comments for your reference. Free cash flow continues to be a good story. We averaged 100% free cash flow conversion since the beginning of last year. In our first quarter this year, free cash flow was $31 million or 86% conversion on adjusted net earnings. Customer advances were particularly strong, but driven by large advances on military programs. In addition, we continue to inventory as a source of cash. The $31 million of free cash flow in Q1 compares with a $44 million decrease in our net debt. During the first quarter, we received $39 million of proceeds from the sale of the Navigation Aid business. Partially offsetting these proceeds were $13 million of share repurchases and $8 million for the quarterly dividend payment. Net working capital, excluding cash and debt, also showed nice improvement this quarter. As a percentage of sales, net working capital was 27.6% at the end of the first quarter, down from 29.1% a quarter ago. Cash advances from defense customers were very strong and drove this improvement. Partially offsetting this was the growth in receivables. Capital expenditures in the first quarter were $37 million, in line with our spend over the past couple of quarters. We're recapitalizing for next-generation manufacturing capabilities that will provide us with a strong platform for growth. We're also consolidating some of our operations into new facilities. We're in a solid financial position to comfortably be making these investments. At quarter end, our net debt was $759 million, including $107 million of cash. The major components of our debt were $500 million of senior notes and $272 million of borrowings on our U.S. revolving credit facilities as well as $90 million associated with the securitization facility that does not show up on our balance sheet. We have $797 million of unused borrowing capacity on our U.S. revolving credit facility. Our ability to draw on the unused balance is limited by our leverage covenant, which is a maximum of 4.0x on a net debt basis. Based on our leverage, we could have incurred an additional $635 million of net debt as of the end of our first quarter. We are confident that our existing facilities provide us with the flexibility to invest in our future. We're in a good shape from a leverage perspective. Our leverage ratio was 2.2x on a net debt basis as of the end of the first quarter compared to 2.6x a year ago. Strong cash generation drove this improvement. Our target zone is between 2.25x and 2.75x, so we're just below that. We're comfortable with our leverage falling below that range for a few quarters or even in the year. We have the full spectrum of options available to us for capital deployment. Currently, we're very focused on internal investments that will serve to provide growth opportunities as well as efficiency gains. We continue to explore acquisition targets while remaining disciplined on pricing but still generally quite high. In addition, we may return capital to shareholders by buying back shares. We also have our dividend policy in place. Shifting to global retirement plan. Cash contributions totaled $16 million in the quarter compared to $13 million in the first quarter of 2021. Contributions have increased for our defined contribution plans as participation grow in our U.S. plan. Global retirement plan expense in the first quarter was $21 million, up from $18 million in the first quarter of 2021, also driven by our contribution -- our defined contribution plan. Our effective tax rate was 24.7% in the first quarter compared to 24.9% in the same period a year ago. Adjusting for divestiture activities, our effective tax rate was 24.0% in the first quarter. The lower effective tax rate this quarter was largely the result of a more favorable earnings mix. We expect free cash flow conversion in 2022 to be about 45% on adjusted net earnings. Customer advances and inventories will be sources of cash, while receivables and payables will be uses of cash. We expect $160 million of capital expenditures in 2022 with a slight uptick in spend from our first quarter spending level. Capital expenditures reflect investments in facilities and infrastructure to support future growth and operational improvements in the business. Depreciation and amortization are forecast to be $97 million. While free cash flow moderates this year, we're also generating cash through our portfolio reshaping activities, such as cash generated from the sale of the Navaids business this past quarter. Before I wrap up, I'd like to share some of the metrics and the amount you'll be able to calculate from our financial statements. These reflect U.S. GAAP accounting for the securitization facility. Free cash flow in the quarter was $120 million and is projected to be $179 million for the year, which is about 100% conversion on adjusted net earnings. Net working capital was 24.5% of sales at the end of the quarter and net debt was $669 million. In summary, our financial position is strong. We're generating cash to fund investments that will provide for our long-term sales growth and margin objectives. We remain optimistic in our future. With that, we'll turn it back to John for any questions you may have.
John Scannell: Thanks, Jennifer. And Jennavy, we would be happy to take questions now from some of our listeners, please.
Operator: [Operator Instructions] We will take your first question from Kristine Liwag with Morgan Stanley.
Kristine Liwag: Just wanted to touch base with you about the F-35. I mean we've heard some of the prime struggle with the F-35 program with labor constraints. What's the pace of slowdown you're seeing from the program? And how has that affected you, if any, at all?
John Scannell: So in the quarter, Kristine, we had, what I call, there is clearly -- COVID this quarter with the Omicron variant, also the vaccine mandates, which created quite a lot of disruption, not that they went through yet, but just on rest, that really put pressure on, I'd say, labor productivity in the quarter, which would have affected the F-35. But the bigger issue was we had some idiosyncratic supply chain issues, some specific component-related issues that we were struggling with this quarter that we anticipate that will recover as we go through the next few quarters. For the full year though, our sales on the F-35 will be down about 10% from what we saw in '21 and kind of in line with what we saw in '20. So that's kind of -- we saw that ramp-up into '21, and we're back down a little bit about 10% from what we saw in '21 and '22. And that's what -- we haven't changed that forecast for the year. We were just a little bit slow out of the gate in the first quarter because of some -- well, obviously, the labor issue, but more particularly some -- particular issues on the supply chain.
Kristine Liwag: And even in that supply chain point, John, can you elaborate more on exactly what you're experiencing, what actions you've taken to mitigate the risk? And also going forward, are these things starting to get better or worse?
John Scannell: So we're seeing -- I mean, the problem with the supply chain, Kristine, is like it's all over the place. On the F-35, we had some specific issues with a couple of components. Some of our suppliers have had some challenges. Keep in mind that our supply chain issue could be reflected as labor availability issue at some of our sub-suppliers. So it all kind of ripple through, but it's across a range of components. It's not just electronic components. It can be mechanical components. It can be a whole variety of stuff. One of the things that we've struggled with right now [indiscernible]. Nothing to do with our aircraft business, in one of our other businesses, but we can't get [indiscernible] So it's across the board, Kristine, and it's almost impossible to predict what's going to be the next issue that comes up. In terms of mitigating against that, I mean, it's -- when you're in the storm, all you can do is you can batten down the hatches and do the very best you can to maneuver. And so what it is, is it's putting a significant amount of additional effort into chasing down alternative sources of supply. We can't, of course, on much of the aerospace stuff, you can't get alternative sources of supply. So we're spending a lot of time with our suppliers, working with them directly, trying to solve whatever problems that they may have, looking for if it's commodity stuff, is there another supplier that we can get that [indiscernible] from? Is there a vendor or a trader that you can get it from. So same as every other company, just spending a lot more time and a lot more efforts doing what 1 year or 2 ago would be just placing the PO. So it's a drag in terms of efficiency, but there's no solving it in the short term. Building inventory, which is one of the concerns I mentioned on the industrial side, is you get this huge pickup in demand because supply is constrained. And the question that always remains is that just will that unwind as we go forward because people are overordering because they can't get the stuff or not. But there's no simple solution because if we don't know tomorrow what the new issue will be on the supply chain. So it's a continuous fight. And you asked the third piece, and I'm trying to remember what your third piece was.
Kristine Liwag: I mean are there any parts that are actually getting better or not worse?
John Scannell: Yes. I mean well, what happens is you have an issue with the part, you working really hard and that part gets better, and then something else comes up. So is the supply chain in totally getting better, i.e., I don't think it's getting better yet. I know on the F-35, the team there would say, well, we have these 3 or 4 components that were real issues. And we think we've pretty much solved those. So that will get better in the next quarter. But that's not to say that something new is not going to turn up in a different part of the business. So I wouldn't say at this stage that it's getting better yet in aggregate. I think that's still to play out. And if you think of China's 0-COVID policy and the spread of Omnicom, the potential for China to shut down large parts of their supply chain for weeks at a time could further make for difficulties in the future. So it's still a mixed bag, Kristine. We're still in the middle of the storm. It's not better yet. And that's one of the cautions I would say about Q2 and Q3. These things are very hard to estimate, and they can have a significant impact, which is why we have a much wider range on the quarters at the moment than we would normally have if we had more stable conditions.
Operator: And we'll take our next question from Michael Ciarmoli with Truist Securities.
Michael Ciarmoli: John, just not the pick on the margins, I guess, I know obviously, commercial aerospace, everyone's had a tough go that we're certainly seeing some good expansion across the sector as we come out of this. But can you just give us an update? I guess it was, right, a couple of years ago, you kind of uncovered all the inefficiencies in the aircraft control segment. I think there were a lot of sort of changes and process improvements and just a broader kind of operational improvement plan put in place. Can you give us a sense of what's happening there? And I mean obviously, some of the Omicron supply chain inflation probably impacting those potential gains. But maybe just an update on what's kind of been happening in aircraft sort of under the hood with the overall operations?
John Scannell: Yes. We have continued down that path, Michael. We talked about investing. We're investing more in CapEx. We're investing in more modern equipment. We're investing in new facilities. And so we continue to invest in improving our operational capability, staffing, talent, et cetera. So all of that has continued. But it's completely masked by a 50% or 60% drop in the demand for the commercial side, which devastated our facility in the Philippines in terms of power through put. We are down -- so we're on a recovery this year. And yet the hours through that facility are down by 50% from what they were in fiscal '19. So you get that type of impact, which is enormous. As you say, you've got the labor availability because of COVID, you've got the supply chain issues. So all of those mask what I would say is underlying improvement. Having said that, we're forecasting margins in the aircraft business to go from 8.3% last year to 10.1% this year. And if commercial continues to strengthen, we should see that increase over the coming years. So we are seeing that margin improvement. But it's -- as I say, it took a real hit when COVID came on us.
Michael Ciarmoli: Yes. I think -- I mean, assuming we continue to get volume recoveries on narrow-bodies, certainly, wide-bodies, I guess, will be challenged. But I mean you guys have been kind of bouncing around at 10% for the past 7 or 8 years. Do you think there's -- after you see the volumes come back, do you think there's runway to finally kind of work out of that channel, if you would?
John Scannell: Absolutely. Although I would caution, Mike, the narrow-bodies are a very small part of our business. It really is the wide-body that drives our business. So, yes. So the 737, if they start taking them again 30 or 40 a month. It will be a bit of a pickup for us, but it's not like the 87 getting back to 10 a month.
Michael Ciarmoli: Yes. Got you. Just quickly on that 87, I think you said the revenues were up year-over-year with -- maybe a bit surprising, I guess, just given production's been kind of stalled. What drove the revenues up on the 87 in the quarter?
John Scannell: Yes. So what we've been doing, Michael, a  year ago -- as you know, a year ago, 18 months ago, Boeing and Airbus were isolating up and down dramatically on their production rates. And it was kind of month-to-month there was a new production schedule, which was typically dropping further and further with an outlook in 6 months' time, we're going to get it back up. Eventually, we got to the point where we said, look, we have to just stabilize our production rates at a level that we think will be in line with Boeing's kind of demand over the next 12 months and then we'd be prepared to move up from there. But our supply chain, we can't go from no deliveries to 4 deliveries to no deliveries to 6 delivery. We can't do that. I mean it will shut down all of our supply chain. And so several quarters ago, we said we're just going to level load in that kind of low to mid-single digits for both the A350 and the 787, that we will make sure that we will absolutely meet Boeing's requirements and airbus' requirements. It may mean in the short term, as you can imagine, we have a little bit of an inventory build and as we go with that will be receivables and that will be pressure on cash. But in terms of keeping the supply chain going, making sure it remains efficient, it's much better to continue at 2, 3, 4 every month and have that stable, than go from 0 to 4 to 0 to 5 to 0. It's just a much more sensible thing. And so we settled that down over the last 6 to 9 months. And as a result, our 87 sales are reasonably constant on a run-rate basis now, and that just happens to be a little bit up from what we did a year ago. It will oscillate up and down a little bit based on material receipts and stuff, but it should be reasonably stable as we go through the next year. And then hopefully, as Boeing starts to get back into shipping and inching up, we've inched it up kind of gradually with them over the following 12 months.
Michael Ciarmoli: Got it. That's helpful. Last point I had just on the kind of inflationary environment. Can you give us a sense of what you can pass through, if it is aircraft content to Boeing and Airbus? Obviously, there's a lot tied up under their master contract agreements. Can you pass through pricing to if it is directly to Boeing or if it's up to -- you're delivering product to other Tier 1s? I'm sure you have to eat some of the costs, whether it might be labor or just consumables or other types of materials you need around shop floors. But what's the general sense on the ability to pass through pricing? And what percent do you think you just -- you guys have to eat that might weigh on margins?
John Scannell: On the commercial side, there's relatively little opportunities pass-through pricing. Typically, you're engaged in long-term contracts with the OEMs. There is sometimes a CPI clause. But it's not -- it's limited at much, much lower levels than what we're running right now if you say we're now running 7%. So there is very little opportunity on the commercial side. On the military side, of course, there is an opportunity, but it probably takes 12 months before it felt us through. So take the F-35 as an example. The next -- our contract for this year were already set, so it's kind of the next negotiation that you have that opportunity to reflect price. So there is clearly longer term the opportunity on the military side of the business to readjust pricing based on inflationary impact. But as I say, it doesn't happen 1 quarter to the next. It typically happens over probably 12 or longer period of time. And then on the industrial side, there is more opportunity there. We can -- we have more opportunity to adjust prices there based on inflationary costs.
Michael Ciarmoli: Okay. What about on the aero aftermarket? Is there the opportunity to drive price higher?
John Scannell: No. Typically, the aero aftermarket is -- it's governed by a contract that is a -- based off of the OE prices. It's obviously different pricings, but it's based on the OE pricing levels. It's not independently adjusted.
Operator: [Operator Instructions] We will take your next question from Cai von Rumohr with Cowen.
Cai Von Rumohr: Yes. So portfolio shaping, John, maybe walk us through kind of quickly any sort of hits you had where you had them from moving facilities because you mentioned that was a factor. And then how much longer is this process now done? Or is there more to do?
John Scannell: So in terms of -- we took a charge -- I mentioned in the tax, Cai, it was about a $2 million charge associated with the inventory write-down as we get out of the product in our security business. We did not include anything in terms of what I call inefficiency disruption charges associated with moving. So that's not -- we didn't put in any number for that. But that clearly impacted us in terms of production output and some margin headwind in the quarter. But we didn't call it out separately because that -- we didn't feel that, that was appropriate to do that. It is an ongoing process, Cai. I mean I guess, to some extent, you'd say, you want to be doing this all the time. We continue -- it will be an ongoing process, I would say, that we've already identified over this year and next year, and we continue to look at pieces of the business. From the time, if you decide that there's a piece of business that we don't -- we've decided look, we've exhausted the internal opportunities, we just don't think that fits until you've actually sold it. It's a 12-month process. If I take the Navaids business from the time we said it doesn't seem like it's got a long-term fit to actually closing it, it's typically 12 to 18 months. So it's an ongoing process that then has a quite a long lead time before it rolls out. So that's -- the moves and the consolidations we've been doing. We've been doing those step-by-step as well. Again, there is building a new facility, consolidating facilities is a 12- to 18-month program. And we're trying to make sure as we do it, there's not major disruptions to the supply chain. And of course, COVID has made it more difficult to do some of those types of things. So I would describe this as ongoing. I don't know that it'll ever end. I think I think we are in the more intense period over last couple of years and probably the next year or 2, and then I would hope we would settle down after that. But there will always be some amount of our business, I think, that at any time, we'll invest more in one and perhaps decide that we want to get out of a different one.
Cai Von Rumohr: Got it. And then on the balance sheet, the customer advances were up substantially. I guess you mentioned defense. Are those going to burn down because that's the biggest step up, I think, I've seen in a long time.
Jennifer Walter: Yes. It was a huge step-up. It was on defense programs that we had, particularly in our Space and Defense segment were the largest ones that we've got. I'd probably say 75% or so of that down net this year.
Cai Von Rumohr: Okay. Okay. And so mix in aircraft -- was the margin impacted by the fact -- I mean, my understanding is you make more money on your military business than on your commercial business. And so the FMS business was down. The F-35 business was down. So mix was really going against you even though commercial aftermarket was up on a net basis in the first quarter. Is that correct or not?
John Scannell: Yes, yes. And if you go back to the first quarter of last year, Cai, you may remember that we specifically said it was a pretty good quarter, particularly coming off of COVID and the lower levels on the commercial side. And it was because we had an unusually strong mix, particularly in the military OE side. And that wouldn't repeat, which it didn't. And so it's -- that really was the difference.
Cai Von Rumohr: Got it. And if you look at your commercial aftermarket sales, this is the fourth sequential quarter in which it's been up. So -- and your full year guide of, I think, 1.20 basically assumes that it's kind of sort of slow down. Is there any evidence that it will? Or is this basically a number that could continue to move up as traffic comes back?
John Scannell: It could continue to move up, Cai. I mean as you say, as traffic comes back, it could do. However, maybe we're just being a little bit cautious. We're $31 million, $32 million in the quarter. So we're a little bit ahead of the run rate for the year, but not much. Last year, we did for the full year on the commercial app market, we did 1.05 So it's still a 12% increase from last year. And I guess maybe we're just being a little bit cautious. But you're right, it has been ticking up nicely over the last quarters and perhaps there's a little bit of upside there as we look through the end of the year. Omicron, I mean, 87 getting back into production. Not that, that affects them so much because, of course, they are in warranty for a few years. But international travel is not yet roaring back as you know. So maybe we're just being a little bit cautious.
Operator: And that concludes today's question-and-answer session.
John Scannell: Thank you very much indeed for your help. Thank you to all our listeners for your interest. Unfortunately, I wanted to say, "Go Bills." But we can't say that. But we do look forward to next year. It's obviously a new year for the build. In the meantime, we will continue to do our very best, and we look forward to talking to you again in 90 days. Thank you for your time. Bye-bye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.